Operator: Good day and welcome to the Pyxis Tankers Conference Call to discuss the Financial Results for The First Quarter 2022. As a reminder, today's call is being recorded. Additionally, a live webcast of today's conference call and an accompanying presentation is available on Pyxis Tankers website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers and MR. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead sir.
Eddie Valentis: Thank you, Darcy. Good morning, everyone and thank you for joining our call for results over the three months ended March 31st, 2022. Just when the major economies were recovering from the latest COVID-19 variant, Omicron, earlier this year, The Russian invasion over Ukraine commenced at the end of February. The war has sent a shock to the global energy markets and resetting personnel economic and strategic priorities, as well as global relationships, especially here in Europe. While various governments have been dealing with the fallout from this difficult situation the product tanker sector has been positively affected. The ability to effectively manage through these uncertain times is critical.  So, stay safe and strong, as we try to overcome these challenges in the pursuit of a more normal way of life. Before starting, please let me draw your attention to some important legal notifications on slide 2, that we recommend you read, including our presentation today, which will include forward-looking statements. Thank you. Turning to slide 3, our most recent quarterly results reflected the lingering effects from the Omicron variant on mobility and economic activity, which resulted in a continuation of a soft spot doctoring environment. Moreover, our results for the period ending March 31st, 2022, were impacted by non-recurring events, including completion of the sale of our two small tankers and the accidental grounding of one of our MR, which resulted reducing operating days for having opportunities.  For the first quarter 2022 within a rabid consolidated time charter equivalent revenues, or TCE, of $3.8 million, down 10% from the same period in 2021, due to lower charter rates and greater spot chartering activity from which we incur volume-related costs and commissions. However, given the recent change as in the operating fleet, we believe it is best to focus on the results of our MR as our fleet currently consists of eco - MRs. Consequently, the TCE for our MR in Q1 2022 increased 5%, primarily due to more operating days from the two vessels additions in the second half of last year, offset by lower charter rate. We acquired the 2013 build Pyxis Karteria last July and 2017 build Pyxis Lambda at the end of 2022. We had a net loss of $3.7 million in Q1 2022, which was significantly higher than the same period in the prior year, due to higher costs and the aforementioned factors.  A loss of $0.09 per common share reflected an increased share count of $13.3 million for the most recent period. Our adjusted EBITDA for the period ended December 31st, 2021, was a negative $700,000. Over the cost of the first-quarter, 2022, the product tanker chattering environment initially and gradually improved with a recovery from the effect of Omicron, especially in the Western Hemisphere. Greater economic activity was met with increased mobility, which increased demand for transportation fuels. However, the outbreak of the Russian invasion of Ukraine at the end of February has shocked the world and the oil markets. Simply, the disruptions caused by this event resulted in sanctions of Russian oil companies, which led to the rapid boost over -- for the product tanker sector.  We are experiencing a significant dislocation of refined petroleum product inventories in many parts of the world. Gasoline, diesel deficit in Europe, and low transportation fuel stockpiles on the U.S. east coast. Refineries are trying to meet this increased demand, which has resulted in changing trade patterns, expansion of ton-miles, higher prices for oil products, and increase in transportation costs. As a result, our company has recently experienced a dramatic improvement in charter activity. More importantly, 67% of our available days in Q2 2022 for our remarks were booked at an average that made the time charter equivalent of $27,900 per day as of May 13th.  While these recent events highlight the short-term opportunities and challenges facing us, we are optimistic about the longer-term, given positive supply and demand sector fundamentals. Please turn to Slide 4 for information on our existing fleet and employment activities. As you can see, we continue to use a mixed chartering strategy of time and spot charters with a focus on diversification by charterer and [Indiscernible]. Three of our vessels are currently in the spot market and the remaining two vessels are under short term time-charters. We have chosen not to call at any Russian port or carry any directly affiliated cargoes. We believe our chartering strategy provides a reasonable balance of risk and return, especially for a small company like ours.  Next, please turn to Slide 6 for a further update on the product tanker market. In addition to my prior comments about the market, the economic recovery for most of the world has been amplifying by the war and geopolitical actions. The advent of increasing and severe sanctions against Russian exports of petroleum products have been met with low inventories in many locations, especially Europe. Tight supplies for gasoline and diesel are changing trade routes and adding ton miles to voyages by increasing exports from the refineries located in the Middle East, U.S. and certain parts of Asia. Improving traveling activity, especially with summer holiday season approaching only compounds the difficulties in replenishing gasoline and jet fuel inventories.  Charging natural gas prices are also forcing some utilities to switch to alternatives such as, few Lloyds for power generation. In the meantime, many countries are focused on energy security and we think to replenish their strategic reserves, which only adds plant 70 and constraints available supplies. Please turn Slide 7. Historically, seaborne trade of refined products have been relatively correlated to global GDP growth. In its most recent update, the IMF lowered its GDP estimates final increases to 3.6% for this year and 2023. In early May, a leading research firm estimated the seaborne trade for refined products would increase 4% in 2022, even with the multi-phase of the release of crude from the strategic petroleum reserves of certain IEA members, current consumption outweighs supply.  Scheduled production increase from OpEx plus and to minor extend U.S. soil will add supply as the year progresses. However, the imbalance should continue with tight inventories and high oil prices. We're cautious that the implementation of stricter governmental monetary policies to combat current inflation mainly to further slowing of economic growth. Moving to Slide 8. Over the longer-term, we expect demand for the product tanker circle to be supported by refinery additions led by the Middle East and Asia. Drewry estimated that over 4.9 million barrels per day of new refinery capacity is scheduled to come online between 2022 and 2026, virtually all of which is outside the OECD. Plant shutdowns mostly in the OECD may further contribute to the importing of refined products into these mature large markets and ton-mile expansion.  Unforeseen events such as the war could lead to additional price spikes for products and shortages in various locations and create arbitrage opportunities in the spot market. Of course, a possible wildcard is another variant of COVID-19, which would likely have a negative effect on demand. Let's move on to Slide 9. The product tanker supply picture, it's much clear as the outlook for MR2s continues to look very promising. The MR2 order book continues to drift lower and recently Drewry estimated that the overall order book at 7.4% over worldwide fleet of 1,615 vessels.  Ordering has been subdued as set as 35 MRs were ordered last year and only two in the first two months of 2022. 61 MRs are scheduled for delivery during the remaining 10 months of this year and 46 are scheduled for delivery in 2023. Moreover, due to the recent surge in ordering of new container ships, gas carriers, and dry bulk vessels, mainly Asian yards, don't have available construction slots with deliveries until 2024. Unknown as the season making process for tanker, the ordering is further complicated by ongoing developments in ship and engine designs, stricter environmental regulations, rapidly escalating shipbuilding costs and involving and still unclear selection and the availability of lower carbon fuels.  Demolitions are continuing at a brisk pace. of 33 a month was craft last year and already seven in the first two months in 2022. This rapid increase is a function of near picks cup metal prices and financial headwinds facing the operation of older, less efficient vessels due to new environmental regulations, higher running costs, including maintenance and greater consumption of banking fuel. Given these considerations and the fact that 7.1% of the global fleet of a month is 20 years of age or older, we expect this trend in scrapping to continue. Consequently, we continue to believe annual net fleet growth for March should be around 2% this year, and next.  Turning to Slide 10. Better chartering conditions have led to further increases this year in massive prices across-the-board. New building prices are now over $41 million with delivery in two years. Stronger asset values and improving earnings power should support higher equity values. At this point, I would like to turn the call over to Henry Williams, our Chief Financial who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. On Slide 12, let's review our unaudited results for the three months ended March 31, 2022. Our time charter equivalent revenues for Q1 of '22, which we define as revenues, net minus voyage-related costs and commissions were $3.8 million, a decrease of 10% from the same period in 2021, primarily due to lower charter rates, especially in the spot market where we incurred higher boards related costs and commissions and more off-hire days associated with our MRs. In the first quarter of '22, the daily TC rate for our MRs were approximately $1500 lower than the comparable 2021. Moving to Slide 13.  We incurred a net loss to common shareholders of $3.7 million for the three months ended March 31, 2022 or $0.09 basic and diluted loss per share based upon $42.5 million weighted average shares outstanding compared to a lower net loss of $2.1 million, or $0.07 basic and diluted loss per share based on $13.2 million shares outstanding. Besides lower TCE revenues, the most recent quarter results were negatively impacted by increases in vessel operating expenses and non-recurring items associated with the recent changes in our fleet and certain events, including the delivery costs associated in the completion of the sale of our two small tankers and the grounding and the Epsilon in February. Adjusted EBITDA declined to a negative $700,000 in Q1 of '22.  Please turn to slide 14 to review our capitalization at March 31st, 2022. At quarter close, our consolidated leverage ratio, our net funded debt stood at approximately 59% of total capitalization. We continue to be in full compliance for our loan agreements. Our weighted average interest rate was 4% for the most recent quarter. And our next bank loan maturity is July of 2025. We have interest rate caps covering 28% of our current outstanding and LIBOR-based bank debt. With that, I'd like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks, Henry. The impact of recent global events, including the war and low inventories in many parts of the world, have been beneficial to us. While we are uncertain as to how long and how high this charter rates will last, we find solace in the positive long-term supply and demand fundamentals over the product tanker sector. We look to continue to take advantage of some interesting opportunities in the spot market, but we likely maintain our mixed chartering strategy complemented by short time charters, our experienced management team should help us achieve a balance of risk and return during these unpredictable times. We appreciate your interest and thank you for joining our call today. We look forward to reporting on future progress at Pyxis Tankers. Be safe, be well.
End of Q&A: